Stefaan Gielens: Good morning, everybody. Welcome to the annual results presentation of Aedifica. We will start the session right now. We have more or less 1 hour available, and I do apologize because we really have back-to-back meetings today. So we don't have much time to really go beyond the 1 hour that we've scheduled. As usual, the results will be presented by Ingrid, CFO, and myself. And we will walk you, first of all, through the slide deck, a couple of selected slides from somewhat bigger deck that you will find available on the website and then afterwards, take your questions. So not to lose any more time, starting the presentation. And as a quick introduction before Ingrid will take over and walk you through the numbers, a quick view on what really happened in 2025 and how we perceived 2025. And I think the best way of explaining it is by having a quick look at this slide, looking at what we were planning to do and what we really did. I think one of the first things that, in our view, are quite important is that the investment market and the project development market in healthcare real estate is back up and running. We see clearly a more dynamic market. We'll go into that and the reasons why, but we also see it in our own numbers and what we have been doing. So we have been refueling development pipelines, acquiring standing assets more than we expected, so for close to EUR 300 million. And we do see clearly, compared to 2024, that this number is going upwards. Looking at deliveries coming out of our development pipeline, we were more or less on target with 1 or 2 of these projects that have been delivered just after the new year, but we are actually more or less on target. Now compared to 2024, this is a lower number in nominal value, but it basically reflects the market. In the past couple of years, we haven't been refueling the pipeline as we were used to, but we're now back in a phase where we are refueling the pipeline and these project completions in the future will become more contributing to the growth of the portfolio and the top line. And then asset rotation, there, we did what we wanted to do. The must-have to us was divest the Swedish portfolio because as we explained, it was not contributing in a similar way as other geographies to the EPS of the company. So this was a matter of capital recycling. But towards the summer of 2025, we stopped really pushing hard on divesting because we were live in the market with the Cofinimmo transaction, and that comes in the very near future with a quite ambitious divestment and asset rotation program. So this for 2025 was no longer one of our top priorities. But I think the main thing that comes out of this slide is that we clearly see the changes in the healthcare real estate market that we wanted to see a more dynamic and liquid market, which is basically quite promising for the future. Now this being said, over to Ingrid, so she can present the financials.
Ingrid Daerden: Okay. Good morning. So we will have a look on the income statement. First of all, the EPRA earnings, they are up by 4%, driven by an increase of 8% in the operating result, mainly coming following an increase of the net rental income. We also worked on a further improvement of the EBIT margin, so we can show a strong EBIT margin at 87%. The financial charges went up compared to previous year, although we can still have a very low cost of average cost of debt at 2.1%. The increase is mainly related to the fact that there was a slightly higher average amount of debt outstanding in the course of 2025. The low average cost of debt is related to the hedging that the company has in place. At the end of 2025, the hedge ratio still stands at 88%. Then you have the corporate taxes. That's the line where you see most of the variance. So it's mainly related to the change of the fiscal system in the Netherlands, the ending of the FDE regime. In 2024, there was still a one-off refund from previous years of EUR 4.2 million. And this year, we recognized in the account accruals for corporate income taxes in the Dutch entities for EUR 4.84 million, explaining the difference in corporate taxes that you see between the 2 reporting years. So this leads then to the EPRA earnings of EUR 244 million or EUR 5.15 per share. Then we move over to the net result. So the changes that are included from going from the EPRA earnings towards the net result are noncash elements, mainly related to the changes in fair value. So this year, we can show changes in fair value for the investment properties of EUR 75 million. This is the most pronounced in countries like the Netherlands, U.K. and Ireland, where we saw strong increases in the valuation of the investment properties. In the Netherlands, mainly driven by the indexation, U.K. and Ireland supported by a strong tenant cover. Then we have the gains and losses on disposals. So this is not a new element. You have been seeing this in our income statement since the end of Q1. It's related to the disposal of the portfolio in Sweden, which was sold with a small discount of 3.9% compared to the latest fair value, but the amount also includes the recycling of the historical currency translation from equity into the income statement. We will now dive a little bit more into detail on the rental income. So globally, for the portfolio, rental income is up with 7%. When we look on a like-for-like basis, we see an increase of 2.7%. This can be split in between 2.6% coming out of the rent indexation. Then we have positive rent reversion of 0.4%, mainly supported by some contingent rents in the U.K. And then there is a slightly negative impact from the currency translation in the like-for-like of minus 0.3%. When we look at the individual countries, you can see that in most countries, the like-for-like is very close to the indexation that we see in each of those countries. What is standing out is the U.K. related to the contingent rents. This year, we also had a historical catch-up of contingent rents, representing GBP 3.2 million. This is not included in the like-for-like. So in the like-for-like, this figure of 4.7%, it's only contingent rents that are related to the previous 12 months that are included. The second country that is standing out is the Netherlands, where we still had strong indexation and we're also able to increase the rental income on some assets related to the fact that we changed the lease agreement more to a B2C model. Moving over to the debt-to-asset ratio. So at the end of 2025, we can report a debt-to-asset ratio of 40.8%. It was slightly below our expectations related to the fact that there is an increase in the fair value of the investment properties. Our financial policy remains unchanged. So that means that we target a debt-to-asset ratio in the low 40s, and we consider 45% as a maximum. The debt outstanding at the end of the year represents EUR 2.5 billion. We still have a good balance between financial resources, debt resources coming from bank facilities and the debt capital markets. In 2025, we have mainly been focusing on refinancing with the banks and adding new financing to the debt portfolio as well for a total amount of EUR 585 million. The tenors on those maturities are between 3 and 7 years, and the average credit spread is around 110 basis points. We have also been working on extensions. So often credit facilities, they have extension options at the discretion of the lender, and we were able to extend those and keep the same conditions in place. And lastly, as a third point, I would like to add that we increased our treasury note program. So there was an additional EUR 100 million that was added to the program, and that was also fully used by year-end. So this allows us to have strong KPIs regarding the debt. So currently, we have a BBB rating with S&P. There is a positive credit watch related to the transaction that has been announced between Aedifica and Cofinimmo that if the transaction can be executed following expectations, there is a probability that the credit rating would improve towards BBB+. Our interest coverage ratio is strong at 6.2x. The covenant stands at 2x. We have a net debt-to-EBITDA of 7.8x, very few encumbered assets. Most of the financing is still done on an unsecured basis. And 53% of our financing is related to sustainable financing. Most of the cases is sustainability linked KPIs that are integrated in the credit facilities. When we have a look on the debt maturity profile. So there, you can see that there's not a lot of refinancing that needs to be handled for 2026. There are some debt maturities starting to kick in, in 2027 and 2028. The timing of the refinancing of those can have an impact on the average cost of debt for 2026. But we still have a lot of headroom on the committed credit facilities, so more than EUR 740 million. This allows us to be able to be in a position where we can say that the financing needs for the company are covered until May 2027 and with a weighted average debt maturity of 3.4 years. Hedge ratio, as I just mentioned, still high at 88%. It will stay at that level until the end of 2027. Then you see it gradually declining in 2028 and 2029. So what we will do is the same policy as we have been following in the past, where we will add additional swaps to the hedging portfolio based on opportunities that we see in the market. Handing over to Stefaan.
Stefaan Gielens: I'm going to walk you quickly through the portfolio slides, but focusing on what I think is probably the most interesting thing, and that is about the operator performance. But starting with the portfolio itself, a quick helicopter view on a couple of things. No surprises here. This is totally in line with everything you've seen in the past. Focus of Aedifica's� portfolio is clearly on seniors housing, so elderly care, senior housing. Numbers haven't really changed compared to previous year. The geographical footprint of the group, there has been some change, namely that we divested Sweden in the first quarter of 2025. As I mentioned already, that was a matter of capital recycling. And that now for the first time, I think Spain is popping up with a very small 1%, but we have been delivering a couple of projects in Spain in 2025. And looking at the future, we are focusing a lot on being more active in the Spanish market. Otherwise, absolutely similar image to previous years, the 4 somewhat bigger countries, each around 20%; Belgium, Germany, the U.K. and Finland. And then the Netherlands coming in at 11% and Ireland, where we started investing in 2021, now standing at 7%. Our tenants. Now this slide, once again, is not really showing you anything new compared to previous years. So it still shows a very strong mix of the somewhat bigger European players like Clariane and Colisee in our portfolio with a lot of local heroes. If I'm not mistaken, the top 10 is exactly the same as it was in 2024. We have a big focus, as you know, for historical reasons on the profit sector in Europe. This sector has been growing and consolidating in the last 10 to 15 years. But we have exposure to not for profit and public operators up to 10%, out of which the Finnish municipalities, 4%, they're popping up on this slide are within the top 10 of our operators today. And then I think what I was referring to earlier on, and in my view, the more interesting slide. So what is happening with the operators in Europe. First, look, occupancy, underlying occupancy, resident occupancy, we have been showing these numbers now for, well, I think, 1 or 2 years. What we do see now end of 2025 is a very strong occupancy throughout the whole portfolio. Looking at the average for the mature care homes in our portfolio, we're above 90% now at 91%. Maybe explaining a couple of things. Mature care homes, we are applying a very simple and straightforward definition. A mature care home is a care home that is trading for more than 2 years. And if that is the case, it enters into these numbers. Secondly, we have been working very hard on improving the coverage, and you will see the numbers at the bottom of the slide in the 5 countries for which we are now showing occupancy numbers, we are reaching almost 100% coverage. So this is not a selected part of the portfolio to show you the best possible occupancy. It is really giving a true image of what is happening in the portfolio. Finland is still not on this slide, but even in Finland now, we made a breakthrough in 2025. We're now starting to collect numbers from a couple of operators. As soon as we reach -- well, statistically relevant coverage, we will start also showing you numbers for Finland. But the numbers that we have for Finland are absolutely in line with what we see for the rest of Europe today. Maybe when looking at the countries themselves, as I said, strong performance throughout the portfolio. But one thing which to us, well, it came as a quite positive surprise even though we had the signs already before is Germany. Germany now at 90% in the portfolio. You know that we have been doing a lot of development activity in Germany pre-2022 with deliveries coming in also after 2022. We now see that the ramping up is really coming to maturity and that the German portfolio also in terms of occupancy is absolutely in line with the rest of Europe. So that's quite strong and positive news also looking at the future. But then something that we now added for the first time is a bit more information about rent covers in our portfolio. You know that we, in the past, already mentioned the U.K. numbers, but now we're adding 3 other countries. Once again, before we dive into these numbers on the back of a quite high coverage. So this is not a selected number of a couple of care homes to show you the best possible situation. It really is reflecting what we see happening in the portfolio. Maybe singling out, first of all, the U.K., you have comparable numbers in the past for the Aedifica� portfolio. It remains a historically high, absolutely very strong rent cover of 2.4. These are numbers on 30 September, but LTM for the last 12 months. It's even a bit higher than it was in the number that we mentioned at the end of '24, 2.3. So the U.K. operated market keeps showing an incredibly strong performance. Then looking at the other countries, Ireland, for the people that attended our Capital Market Days in Dublin, I think, in early 2025, we already mentioned there that we see rent covers in Ireland around 1.7. We're now at 1.8. Once again, a very strong rent cover knowing that we started doing business in Ireland back in '21 by acquiring a couple of standing assets, but soon after we start building the portfolio more to development, in this case, more forward purchasing deals. So this is a fairly young portfolio with mature assets, but fairly young. But what we do see in the portfolio in Ireland is that ramping up is going at quite remarkable speed, meaning that for most of these Irish care homes, 12 months after delivery of the asset, we already see occupancy rates going above 80%, in some cases, even reaching 90%, whereas in the rest of Europe, you probably would start to see these numbers after 2 years. So even when we consider them to be mature, we do see that they come in at somewhat lower numbers and keep growing afterwards. Ireland is really doing much better than the rest of Europe. And on top of that, showing a very strong rent cover. And then you have Belgium and Germany, the 2 countries where we have been explaining in the recent past that we do see operators bottoming out. We're now in Continental Europe, should not expect to see a 2.4 rent cover in the near future because these are countries where there's a lot more public money going into the financing of the operators. But as we mentioned, these countries were clearly bottoming out. What we do see nowadays, and once again, it comes in as a quite strong message is that on the back of the increased occupancy and lots of other signs that we had in the German market, we now also see a very good rent cover in Germany of 1.6. To put things into perspective, you probably know that over the past 10 years, when asked about rent covers and underwriting criteria, we each time said that what we use as a rule of thumb is that when we are underwriting new contracts, we would like to see a rent cover of at least 1.5. Now Germany is back above the 1.5, at 1.6 and Belgium is actually very close to the 1.5. So you do see, I think, on average, quite strong -- very strong to good rent covers throughout the portfolio in Europe. Once again, Finland, because we don't have the data coverage comparable to what we see in the rest of Europe. So I'm not going in too many details, but the limited numbers that we see are definitely not deviating from what you see on the slide. So I think it is really becoming a European trend, occupancy back at almost pre-COVID levels and rent covers growing back to normal territory, even strong territory with differences between some of the countries where in some countries, it goes a bit slower than in other countries. But I think that we do see an operator performance in Europe, which is totally recovering, and it is starting to show in operator activity in Europe. To add or to mention one example recently in Germany, where we have seen Domidep taking over Vitanas. So we do see a lot of signs of an absolutely improved operating climate in Europe. Then going forward to -- well, in this case, lease maturity, I'm not going to spend too much time on this. You know that we have a quite long WAULT and that today is standing at 18 years with a 100% occupancy rate. We really only have a couple of buildings which are vacant today. It's I think also a result of a quite active and proactive asset management that we have been applying certainly in the '22, '23, '24 years. We're transferring buildings to other operators if and when needed, but it results in a very strong occupancy rate. And -- but also maybe pointing out that we are basically activating our asset management in countries like Finland, where on average, the WAULT is a bit lower. It has to do with initial duration of lease contracts that are more around 15 years. But we're making a lot of efforts to make sure that we keep the WAULT also in these countries at a quite high level, resulting in the fact that only 1% of our total portfolio will -- at least 1% of the leases for the total portfolio will come to an end in the next 5 years. So basically, I think that we've managed the portfolio quite well in that respect. And then valuation. Pretty much the same message as in the past. What we do see now is that when you look at the average fair value yield for the whole of the portfolio, we're now at 6%. So we're actually stabilizing around this 6%. If you look at what happened in 2025, you will see that we've seen like-for-like value increases around 1.3%. If you just look at the last quarter, it's plus 0.4% to 0.5% with a couple of countries outperforming. The Netherlands coming in with 4.9% has also to do with the fact that inflation was much higher in the Netherlands compared to, for instance, Finland, where inflation was actually quite low in 2025. But also the U.K., and I think that is still reflecting the exceptionally high operator performance in the U.K. market. But what we do see in all of the countries are clear signs of a market that has bottomed out and is basically already starting to turn to growth again also in terms of value. Some of the countries, we do see pluses and minuses. But on average, a lot of signs that the market is back on its feet. And adding to that, that this is also being underpinned more and more by market evidence because we do see a more active investment market. So it's not just valuers making up their minds. I think we start to see more and more evidence in the market. And then a slide that also is very important to us because this should reflect what we think will happen in the market. It is becoming a more active investment market with lots of potential because operators are back, rent payment capacity is improving. And as we announced at the beginning of 2025, to us, that means that we want to rebuild our development pipeline, and it's actually what we're doing. If I'm not mistaken, end of 2024, we were around EUR 160 million, EUR 170 million. We're now back at EUR 276 million. You do see that we have been quite active in Ireland. I just mentioned that ramping up is going so fast. So there's a clear demand for new capacity in Ireland, and it shows in the numbers. Our pipeline in Finland, where, as you know, we are full developers is growing again. So after a couple of years where we were slowing down, we're building up the pipeline again, and we're doing it on the back of the criteria that we want to see happening. So that means yield on cost of 6.5% and development margins around 15%. And based on those criteria, we're building up the pipeline in Finland today. We remain active in the U.K. given the strong operator performance, but I flagged before, we remain cautious in the U.K. because we want to avoid building the portfolio on the top of the market when prices are relatively high, which is, I think, to a certain extent, the case in the U.K. today. And maybe adding, which is not reflecting in this slide yet, but as I mentioned, that we do see a lot of interesting things happening in the German market that just after the year's end, we signed a first new project in Germany. So you do see a lot of potential to build up the portfolio. And then going to the right side of the slide, it's not just about volume, it's also about getting interesting yields. So we are now at a 6.5% initial yield on cost for the whole of this pipeline, whereas I think end of '24, we were around 6%. And if you go back a bit further in time, it was more around 5.5%. So you do see the market becoming more active, more dynamic, and you do see yields and value potential, which we clearly can achieve in this market already today. So basically, looking back at 2025, actually quite happy with the year, not just in terms of our own results, but more specifically in terms of operators' performance, clearly improving in Europe and becoming -- we're reaching promising territory. And also when we look at investment and development activity, we see a lot more potential in this market. Now then looking forward to the future before handing over to Ingrid, I think it's quite clear that what will be probably catching all the attention in 2026 will be the result of our exchange offer on the Cofinimmo shares. I'm not going to walk you through these slides. You know it. I think that the only -- and the main thing right now is to flag that we are in the middle of the initial acceptance period. Talking to a lot of people and well, coming across a lot of support in the market. So our feeling is that things are going absolutely well at this point in time. You know why we are doing it. So we explained the whole rationale behind this operation. I can only confirm and repeat what, by the way, also is in the prospectus today. But add to that, that we do really believe that this operation comes at the right point in time because we do see the European healthcare market opening up again, and we do see European operators improving their performance. So I think it is absolutely the right point in time to create this platform that is operationally and financially stronger than the 2 companies in a stand-alone situation. But that then is my bridge to Ingrid so that she can explain what are potential scenarios for the future for Aedifica, either stand-alone or combined with Cofinimmo.
Ingrid Daerden: Okay. So this year, it was a little bit particular situation, I would say, to give guidance to the market on our financial outlook for 2026. So how did we approach this? So first of all, we had a look on the business plan and Aedifica�based on the current portfolio. On that basis, we can say that we have a stand-alone budget, excluding any impact of transaction costs related to the project, the exchange offer. Based on the assumptions that we have in that model, we come to a rental income of EUR 370 million. This is an increase of 2.5% compared to 2025. I think that I need to add as well that in our pipeline, as you might have seen, we are expecting deliveries for 2026 of EUR 160 million, but they will be delivered in the course of the year. So during the first 3 quarters, we are expecting approximately EUR 35 million to be delivered. And then in the fourth quarter, it will be EUR 50 million. So the increase in rental income coming out of the deliveries will be spread out over the year. Then we have a new investment target, EUR 300 million, in line with what we have been announcing this year. But also in this investment target, an important part of it will probably be related to new projects. So for the announcements that we made in 2025, 75% were projects that are added to the pipeline and hence, only later onwards start to contribute to the rental income. So for this budget, we made the assumption that part of it will kick in around the summertime, part of it will rather only contribute for 3 months to the rental income for the part that is related to the acquisitions. And we also included an assumption on asset rotation. So it's a little bit a standard amount, I would say, EUR 100 million. If you take into account the portfolio of EUR 6 billion, that will be spread over the year in the form of disposals. Then other assumptions that we included and an important one is the average cost of debt. We see it still standing at 2.1% in 2026. This is based on the credit facilities that we currently have in place. Depending on what we will be doing for refinancing, there might be some impact on the average cost of debt. I'm hinting on the fact if we would go to the bond market, something that we had on the planning, taking into account the average debt maturity that is standing around 3.4 years. So going to the bond market, that would have an impact on the average cost of debt because we are doing the refinancing earlier than that currently is foreseen in our budget, and that is also needed from a liquidity perspective. Then we have the assumptions on the exchange ratio. So there, you can see that we are cautious on sterling. So in the past, usually, we had sterling standing at EUR 1.15. So currently, in the budget is EUR 1.13. If we would assume that current sterling would be trading at EUR 1.15 where it currently stands, this would lead to EUR 0.03 additional earnings if you have a full year impact. Then the debt-to-asset ratio, we do not include in our budget any assumptions on changes in fair value. So that means if the valuation of the existing portfolio remains flat, our debt-to-asset ratio probably will be around 42% by year-end. Taking into account all of these assumptions, we are expecting that the EPRA earnings will be above EUR 247 million and the EPS will be above EUR 520 per share. Having said that, I must add to this that probably this stand-alone budget is more like a theoretical exercise because most likely, we will be in the second scenario, where we will take control of Cofinimmo at the end of Q1. So what will be our priorities under that scenario? So first of all, we will have the first consolidation that will start at the end of Q1. So normally, the capital increase is expected to take place on the 30th of March. So there will be, for 2 weeks, contribution to the income statement coming out of the consolidation. We will work on the integration. So the scoping, planning and the execution; we are targeting to do most of the work in 2026. And it will also allow us to start working on the synergies where we do expect that the full run rate impact will occur in the course of 2027. We will also focus on the disposal of the healthcare asset disposals, the EUR 300 million that are related to the approval of the competition authorities. So that will also be one of the priorities in 2026. And then we have the intention to work on a legal merger in the second year half of 2026. So this legal merger will allow us to take 100% control of Cofinimmo and to delist Cofinimmo. So taking into account all of these elements, we do not know the exact holding percentage that we will have during the first consolidation exercise, makes it difficult for us to give EPS guidance for 2026 for the combined entity. So there, we will come back to more detailed guidance for the combined entity at the publication of the half year results, which will happen in the beginning of September. But what we can say is that the dividend policy of Aedifica� remains unchanged. So that means that we will continue to distribute 80% of the recurring consolidated EPRA earnings towards the shareholder in the form of a dividend. Stefaan?
Stefaan Gielens: Yes. Okay. I think that we are now coming to the end of the presentation part of this session. Maybe to allow you to have a bit more time to ask questions, I'm not going to make a long speech about the conclusion. I think it was quite clear. We do see a much improved healthcare real estate market. We are quite confident about the future potential, both of the combined entity, Aedifica, Cofinimmo and the market itself.
Stefaan Gielens: But this being said, let's switch to the Q&A. [Operator Instructions] So if you have questions, now it's time to start raising your hands.
Ingrid Daerden: Steven Boumans.
Steven Boumans: I have a question there. You are very constructive on the investment market. Do you also imply that the EUR 300 million stand-alone gross investment target that is a bottom? And second, to what extent could we see some yield compression for the portfolio in '26?
Stefaan Gielens: Okay. The EUR 300 million that was mentioned in the stand-alone is, in my view, indeed more a minimum than maximum. So I do believe that there is more to be done in the market, both in terms of asset deals, rebuilding the development pipeline and perhaps even M&A. So yes, I do think that if -- well, we could do probably more. That's one thing. Secondly, yield compression. Yes, always difficult to predict that. This being said, I think that we more or less are now at yields that I think makes sense and will be there for a bit longer time. It might depend from one market to another that there might be some first signs of yield compression kicking in. Sometimes wondering whether that is not happening today in Spain, for instance. But given our expectations in terms of long-term interest rates, I do not see a lot of yield compression kicking in, in the near future. But as I said, the market is really shifting into a much more dynamic mode. So we'll have to see what really happens.
Ingrid Daerden: Aakanksha from Citi.
Aakanksha Anand: So three questions from my side. The first one, mainly on the acquisition opportunities in the market. So I guess you mentioned that there is an increasing number that you're seeing. Markets are more dynamic now. I just wanted to understand what are the main drivers for the increasing number of deals that are coming to the market now? Is it just because operators want to offload into the property companies, so propcos? Or is it increasing distress in the market? Or is it just the fact that operators are -- the profitability of operators is improving, and that's making it more attractive for more players to enter into the market? So that's first part of the question. And the second part would be on the acquisitions. What are the top 3 geographies where you are most keen on acquisitions? That's the first question, and I'll take the other two as we go along.
Stefaan Gielens: Okay. First of all, so the drivers of this increased activity in the market, to me, are definitely more positive drivers and not negative drivers. So it's not distressed. It's much more the fact that operator performance is improving. And some countries definitely are trying to do something about the lack of capacity. Now for instance, the indication I gave about the Irish market, the fact that ramping up is going so incredibly fast is a clear indication that there is need for more capacity. And this, combined with operator performance that is improving, it means that operators are turning back themselves to growth. They want to build more capacity because they can do it right now and they can turn it into a profitable business model. So it is really a quite, I think, positive trend that we see returning to the market. On top of that, we do see increased -- well, first signs of an increased M&A activity in the operator world. We have already been approached by some operators asking us if we would be ready to accompany them in those type of operations, if there is some real estate that they want to take out of the balance sheet when acquiring competitors. So these are things that basically we didn't see in '22, '23 and '24 and that are now more and more popping up again. So it's definitely not distressed situations. It's much more -- well, the market shifting to really growth again. And then the top 3 countries, that's always a tricky question. But today, top of mind, I would clearly say Ireland, Spain and then U.K. and/or Finland, maybe a slight preference still for the U.K. Why do I say Finland? Finland is because we're full-blown developers. And we do see that development activity potential is increasing and allowing us also to make -- well, operator -- sorry, development margins, healthy development margins again in Finland, which in the end is creating equity, allowing us to leverage on that. So I think that these are basically the countries that we do believe are very interesting today. I should add that I'm actually becoming more and more positive for Germany, but it's more the cycle that it starts to go upwards in Germany again. So that's, I think, also a lot driven by timing, not waiting too long before you start building up positions in a country and you have to do it at the right point in time. So Germany might be at the right point in time if what we see happening confirms in 2026.
Aakanksha Anand: Okay. That's very clear. The second question will be just on the yield on cost on the pipeline. So it has definitely improved to by about 40 bps compared to last year. So what are the main drivers here? Is it just the tenant profitability improving and you're being able to charge higher rents?
Stefaan Gielens: I think in the end, that's probably the most straightforward answer. I have been explaining in the recent past that when we look at the market, basically, what we've seen in Europe is a total disbalance between our cost of capital, cost of construction that went up a lot and then rent payment capacity that was in most of the countries under pressure. And what we do see now is in lots of countries that rent payment capacity is very healthy again and increasing. So -- okay, I think also the cost of capital is slightly improving. So given the fact that buildings have become more expensive, we have a certain cost of capital urging us to go for certain yields. So yes, the third factor being rent payment capacity, and that has clearly improved. So I think that, that is the main driver today in terms of new developments.
Aakanksha Anand: Perfect. And the third one, I think Ingrid mentioned lease agreements changed to B2C. I think that was for Netherlands. Could you just put some more color around that? Is it something more country-specific or something we can see more of an increase?
Ingrid Daerden: Why I mentioned it is because it did have an impact on the like-for-like. So those are 2 independent living assets where we went to a model that is B2C, that is related and creating additional rental income for the company because we are invoicing directly to the tenant, but it also involves some increase in the maintenance charges that will come to the company. But it is a model that we are exploring a little bit. So something that could be part of our business model, but it will remain marginal in the portfolio as a whole, I would say.
Stefaan Gielens: Yes. I think, Aakanksha, at this point in time, it's very country specific. So it's clearly something that we see a lot happening in the Netherlands where also other domestic investors are stepping more into B2C models, but always teaming up with an operator. So there is a third party involved, which is the operator, which is providing care, but this is more independent living where the investor landlord really signs a lease with the resident. What we did in the Netherlands is because we -- these are actually buildings that we acquired a couple of years ago, where we had a master lease with an operator, not for-profit operator. But they, for reasons of their own, they wanted to get out of the master lease, but keep focusing on providing care in these buildings, whereas we -- well, clearly, if we could take over their position, that would immediately for us result into higher rental income with also more operational costs. But in the end, it seems to be a very profitable operation. And it is actually totally in line with lots of investments that we see being done by domestic investors in the Netherlands. So it is a bit of an experiment, promising experiment, but at this point in time, very typical of the Dutch market here.
Ingrid Daerden: Frederic Renard from Kepler Cheuvreux.
Frederic Renard: Maybe a question on the underlying occupancy rate within your nursing homes. Can you help me reconcile a bit the high occupancy rate that you disclosed in Belgium with the relatively low rent cover of 1.4x. That's maybe -- and linked to that, I would like -- well, you know that Colisee changed its shareholder recently. I'd like to see a bit if you had been able to discuss with Blackstone among other recently.
Stefaan Gielens: Yes. Okay. No specific -- Belgium, in the end, the rent cover is not only depending on occupancy. It's actually also depending on the revenue that the operators are getting out of it and cost management. So what you see in Belgium today is the market bottoming out at a rent cover, which is not excellent, but definitely not poor or bad either. But where there is room for improvement and improvement, and this is answering your question, I see it coming mostly from managing staffing costs. So what we do see in Belgium in some assets happening today is something that in the past, you've also seen in Germany and even if you go back a bit further in time in the U.K. is that they have to turn too much to agency workers, which come in at a much higher cost compared to employees and for which they are not really being refinanced, knowing that in Belgium, wages of care takers are actually being refinanced through the social security system. So that is something that the Germans were able to address, the U.K. also, where there is room for improvement in Belgium at this point in time will automatically lead to an improved rent cover. And then secondly, but it is more of a political thing, I think that also my opinion, but once again, which could lead to a lot of improvement in terms of rent covers also in Belgium has to do with the pricing flexibility. I think that in certain parts of the country at this point in time, the prices are overregulated and basically slowing down operators in trying to adjust their revenue to the real cost they are experiencing. So in a nutshell, this is why even at the higher occupancy, you see somewhat lower rent covers in Belgium. But there is a clear path forward to improve these rent covers in Belgium. And then your second question, sorry, you have to remind me quickly.
Frederic Renard: On Colisee specifically.
Stefaan Gielens: Colisee. You mentioned Blackstone, but we haven't entered into a dialogue with Blackstone at this point in time. But what I can say about Colisee is that we had a dialogue with the local management of Armonea in Belgium, which was a very, let's say, constructive dialogue. So as far as I can tell today, but it's not -- at this point in time, nothing more I can disclose because I do not want to, well, intervene in perhaps ongoing conversations at another level. But we had -- let me repeat what I just said. We had a very constructive dialogue with the local management team in Belgium. So I think that we did what we needed to do and that we stabilized the situation.
Frederic Renard: Okay. But I guess you know that at some point, they will try to force you to lower [indiscernible], but we'll see later on.
Stefaan Gielens: As I just said, we had the dialogue with them. I'm smiling at this point in time, so you don't see a lot of problem I face here.
Ingrid Daerden: Valerie Jacob from Bernstein.
Valerie Jacob Guezi: I've got three, if I may. The first one is on your 2026 stand-alone guidance. You're guiding for 2.2% like-for-like growth, stable cost of debt and some net investment. So I just wanted to understand why your guidance is so conservative, if there is something I am missing here.
Stefaan Gielens: Okay. Well, I'll take the first part. I think conservative, it's coming from the fact that we have been very conservative in budgeting the portfolio growth. So as I keep repeating, we do see a more active and dynamic market. But we know from experience in the past that you can, at the end of the year, show a very high number in terms of new deals that you have been announcing throughout the year. But it is more the point in time that they become cash flow generating, which is important in terms of your guidance. So yes, I expect that we will be very active in terms of investment and refueling the pipeline, already indicated that the EUR 300 million that we mentioned is perhaps also even or even so conservative. But the real impact of that is something that you will see once all of these new deals start generating cash flow in the portfolio. And that's not on the 1st of January. That will be spread throughout the year. And then secondly, maybe adding to that is that we come out of a period where the pipeline hasn't been refueled a lot. So we have to get back to cruising speed. And to me, cruising speed means that you have a constant flow of deliveries coming out of your pipeline at interesting yields. This is what we're now building up again. And on top of that, you have your ongoing investment activity throughout the year. So once you reach that cruising speed, you will see more impact on the top line. So I think it's more of a timing issue as far as I am concerned. But Ingrid?
Ingrid Daerden: Yes. What I would also like to add is, like I said in the beginning, this is a little bit of a theoretical budget because if you would have put in on a stand-alone basis, a much higher assumption on the investments. Because in reality, we think we will invest much more, but we also think that we will take control of Cofinimmo and there will be capital recycling, allowing to finance and to redeploy that capital and to finance the new acquisitions. If you just put it into a model, much more investments, then your DTA goes up or you have to add in as well a capital increase. So you have to think about the stand-alone budget as a theoretical exercise with the EUR 300 million, which is in line with what we did in the previous year and what we are very confident that we can realize in 2026 as well. But for us, the most plausible scenario is the second one, where we will take control of Cofinimmo, where we will be working on the divestments that we have been announcing to the market, and we will redeploy that capital. And then it mainly comes to the timing issue element that Stefaan just has mentioned earlier.
Valerie Jacob Guezi: Okay. My second question is about your investment strategies. I mean you are doing a lot of very small development of just like EUR 10 million, EUR 20 million. And I just wanted to understand how you think about this type of deal versus scaling the platform with some large portfolio deal. I mean, you're trading close to NAV now, so you could even raise equity. So I just wanted to understand how you balance the size and the profitability of all your sort of potential investments.
Stefaan Gielens: Okay. It's actually a very straightforward answer here. We know from experience that the existing platform with our decentralized model with country teams is giving us access to a lot of local deals and very often also to very interesting deals, meaning relatively higher yielding or when talking about development offering, development margins, which basically are creating equity and allowing us to leverage on that. It's something that has been a strength of Aedifica�in the past, and we want to keep that strength, absolutely. So we're going to keep doing this using the network that we have throughout Europe. But I do agree with you, also looking at the challenges that we will have if this Aedifica�, Cofinimmo combination comes through and the quite ambitious divestment program, including the noncore of Cofinimmo that we also will have to scale up in terms of somewhat more sizable M&A type of deals. So looking at the future, it will be a combination of both.
Ingrid Daerden: Vivien Maquet from the Degroof Petercam.
Vivien Maquet: Two questions on my end. Maybe first, I did not get it right, but you mentioned that you want to avoid building the portfolio in the U.K. at the top of the market, but you also mentioned that it is your third perfect geography. So I just wanted to get a bit of clarity here. And does it mean that you also see risk of price correction? Because if you think it's the top of the market, then you will assume maybe a risk of price correction.
Stefaan Gielens: Yes. Maybe taking that one, first of all, maybe underlining, I'm still a firm believer of the U.K. market. So I was not sending out any negative messages about the U.K. But it's just -- actually, it's always all in the timing. We have acquired a U.K. portfolio back in 2018, 2019 from an investor that wanted to step out of the market because they were afraid of Brexit. Okay, that was a bit of a mixed portfolio, but we managed it and brought it to a higher level of quality. And then we started adding a lot of new buildings and mostly through development of forward deals. And that has been very profitable. What we do see now is that the U.K. market and certainly the operator performance is at a very high level, but it remains at a very high level. I do not see at this point in time any indication of a price correction in the very near future. I would actually say that if you look at how active certain U.S. healthcare REITs have become in the U.K. that you could even make a case that prices might go up or at least performance and activity in the U.K. market might even go up, et cetera. But we're long-term thinkers. And what we want to do is when we look at the metrics of our portfolio, we also look at what is the average cost per room, the average cost per square meter, the average rent per unit, things like that is we keep an eye on that also. So we want to avoid doing too many deals that maybe today from a strictly financial perspective seems interesting, but when you look at all of these other metrics, come out as quite expensive deals, where you know that if the market would correct at a certain point in time, those are the deals where probably you will feel the pain afterwards. So that is what we're trying to manage carefully. And this being said, repeating again, still very positive about the U.K. market. But if rent covers in the U.K. would come down to 1.8, that still is a very, very strong rent cover. But if you're buying a lot of assets that really are depending on the rent cover of 2.4, even at 1.8, you will feel the pain. So that is what we're trying to avoid.
Vivien Maquet: Okay, clear. Then a question on the disposals, the EUR 100 million, I assume it does not include any Belgian assets. And maybe can you provide an update on the identification of the EUR 300 million portfolio? Are you working mostly on your, I would say, stand-alone portfolio or any update there would be great.
Stefaan Gielens: Yes, maybe the EUR 100 million you were referring to in the stand-alone scenario, as Ingrid said, that's a quite theoretical approach. And basically, what we do see as normal asset rotation for Aedifica�stand-alone is that we -- 1% to 1.5% of the total portfolio every year should rotate and then you get to these type of amounts. In real life, we think that the base case is much more the one where we do combine Aedifica�and Cofinimmo, and then you have this, what you were referring to commitment towards the Belgian competition authorities of having to dispose EUR 300 million of Belgian assets. Do we have -- there's not a lot I can tell you at this point in time for lots of reasons, also keeping in mind that we are in the middle of an acceptance period. And I should clearly avoid telling you anything which is not already publicly known and in the prospectus. But this being said, I confirm what I've been telling the market before. When we were talking to the competition authorities about this, we did some market sound ourselves, of course, very limited to just talking to a couple of parties we know. And we got positive signs that there is interest for these type of portfolios. So that was confirming -- sorry, reassuring for us. And then secondly, yes, we have built a case where Aedifica�stand-alone has identified a portfolio, which we can use to accelerate things if need be and if the opportunity would arise. But after taking control of Cofinimmo and certainly after the legal merger with Cofinimmo, legal merger that we see happening in the second half of 2026, we can, of course, look at the whole of the portfolio. And in any case, think that the divestment will not take place before the summer of 2026 and might take place towards the end of 2026, and that will be after the legal merger.
Vivien Maquet: Okay. Then two quick questions on the guidance. First, on the 42% debt to assets, you assume as of 2025, that does not include any revaluation.
Ingrid Daerden: No, it doesn't.
Vivien Maquet: okay. And then it does not include any potential agreement you will get with Armonea either, right?
Stefaan Gielens: I think it does, to be quite honest.
Ingrid Daerden: Very difficult to answer that question for us. But let's say that I'm not expecting additional impact coming out of such a kind of agreement.
Vivien Maquet: So if you have an agreement, that will be already [indiscernible] and therefore, should not [indiscernible] negative on your guidance, right?
Ingrid Daerden: Yes.
Stefaan Gielens: But as I said to Frederic earlier on, we had a quite constructive dialogue. So I think we know where we will land, and we know it already today. So it's, yes.
Vivien Maquet: Indeed, just to know if it's already in the guidance or not.
Ingrid Daerden: Stephanie Dossmann from Jefferies.
Stephanie Dossmann: Maybe just a follow-up on the disposal side because just to clarify something, are you able to dispose of assets in the Cofinimmo portfolio ahead of the merger if you agree legally, I would say, with Cofinimmo's management?
Stefaan Gielens: Yes, of course. Not today, after taking control and then we have to agree between the 2 companies because basically, in the period between us taking control, which will be mid-March, if everything goes according to plan, of course, and the legal merger that we see happening somewhere in the second half of 2026. In that intermediate period, you still will have 2 companies with their own governance, but with a controlling shareholder, it will be like a group, parent company being Aedifica�, subsidiary being Cofinimmo. Yes, we can agree within the group to team up together to do this. That's possible yes.
Stephanie Dossmann: All right. So I don't know if you can give some color on the disposal of the offices. Do you have advanced discussions on those?
Stefaan Gielens: Yes. The offices -- sorry. yes. The only thing I can tell you today is that we -- and when I say we, I am really talking Aedifica�at this point in time. We did get a lot of inbound from parties in the market that were making clear that they could have some sort of interest in the portfolio, being it part of the portfolio or the whole of the portfolio, which basically was also a very pleasant surprise to us. But we did not engage at this point in time into any really material discussions. I think it's -- we need to wait until we are in this group situation. But we clearly do have some ideas of what could be possible. That's absolutely the case.
Stephanie Dossmann: And will it be piece by piece or as a portfolio?
Stefaan Gielens: The only thing I can tell you is that we've got interest -- well, as I said, inbound, just people telling us that when you start acting, please talk to us. And that really goes from the whole portfolio to parts of the portfolio and I guess, also for asset per asset.
Stephanie Dossmann: All right. Fair enough. On the rest of the disposals targeted, I mean, the EUR 300 million committed. Will it be more on peripheral assets or to lower exposure to specific operators, such as, of course, the big one you have in your portfolio? Colisee, [indiscernible], Korian?
Stefaan Gielens: Once again, very -- I think what you should expect to see is that, that will be a portfolio that reflects the reality of the Belgian Aedifica�portfolio today. So I think more or less answering your question, yes.
Stephanie Dossmann: Yes. And maybe on the coming merger or the offer actually, what indicators do you watch to anticipate the tender level, I mean -- and the outcome of the initial period? Do you have feedbacks? I mean, what key indicators do you look at, proxies and so on?
Ingrid Daerden: Yes, indeed, we have proxy advisers who give us some informal indications. So...
Stephanie Dossmann: Can you say something more?
Stefaan Gielens: We are communicating a lot at this point in time also towards retail and towards institutional shareholders. As I mentioned, I think, at the beginning of the session, the feedback that we get is straightforward positive. So that's one thing. We will have to see whether people then tender or not. We keep an eye also on the stock price, of course. And I think the stock price also has a clear indication that the market is a true believer of this combination. So I should turn it in the other way. We do not get any negative feedback or pushback in any way at this point in time.
Stephanie Dossmann: Okay. Maybe just the last one, very quick. If I'm correct, there was a slight expansion in the yields in Belgium. What is related to?
Stefaan Gielens: Yes. No, no, that could be the case. I think it is really, as you said, a slide. So it could be just a rounding. But this being said, what we do -- basically, what we have seen in the latest quarters is that, well, inflation increasing rents are driving valuation at this point in time because what we do see is that there's not a lot of yield decompression going on either. So yields are more stabilizing. But when you dive into one specific part of the portfolio, it could just very well be a mix -- what we do see in lots of countries with perhaps the exception of the U.K. and the Netherlands where it clearly is a very strong positive. Lots of other countries, it's a combination of pluses and minuses. There might be corrections for certain assets, but there also are upward corrections for other assets So it could be just the impact of these pluses and minuses at a certain point in time. But we do not see anything specific happening with the yields in Belgium. I could say on the contrary, there was for the Belgian market, a quite big deal being done a couple of weeks ago by a listed REIT acquiring from the biggest profit tenant in Belgium at a yield of 5.75. So that is really underpinning the valuation. I think there are still people willing to ask questions, but we are basically out of time. Can you -- I do apologize for this, but as I said, we are a little bit in a situation of having back-to-back meetings today. But if we couldn't address your question, please feel free to reach out to Delphine. We will come back to you ASAP. And once again, my apologies that we can't make more time available at this point in time. I thank you very much for your attendance, and we're pretty sure that we will be in touch in the very near future. Okay. Thank you all. Bye-bye.